Operator: Good day, and welcome to the CNX Resources Second Quarter 2022 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I’d now like to turn the conference over to Mr. Tyler Lewis. Please go ahead.
Tyler Lewis: Thank you, and good morning to everybody. Welcome to CNX’s second quarter conference call. We have in the room today, Nick DeIuliis, our President and CEO; Alan Shepard, our Chief Financial Officer; Chad Griffith, our Chief Operating Officer; Don Rush, our Chief Strategy Officer; and Ravi Srivastava, President of New Technologies. Today, we’ll be discussing our second quarter results. This morning, we posted an updated slide presentation to our website. Also detailed second quarter earnings release data such as quarterly E&P data, financial statements and non-GAAP reconciliations are posted to our website in a document titled 2Q 2022 earnings results and supplemental information of CNX Resources. As a reminder, any forward-looking statements we make or comments about future expectations are subject to business risks, which we have laid out for you in our press release today as well as in our previous Securities and Exchange Commission filings. We will begin our call today with prepared remarks by Nick, followed by Alan, and then we will open the call for Q&A, where Chad, Don and Ravi will participate as well. With that, let me turn the call over to you, Nick.
Nick DeIuliis: Thanks, Tyler. Good morning, everybody. Thanks for joining us today. Before I get into the specifics of my comments, I think it’s important to first highlight 3 themes that are core to the CNX investment thesis. And we think of these 3 in sequence, so I’ll put them in order. So first, we built and now we manage a low-risk $700 million per year of free cash flow annuity that works year after year. And this helps to largely insulate us from the macro events that are out of our control, it creates confidence and conviction in our business and its sustainable and works in any business environment. After that, second, we then apply clinical math. And when the math dictates it, we allocate a significant portion of the free cash flow to reduce our share count at highly accretive rates of return, which is going to continue to deliver unprecedented free cash flow per share growth. That’s a tremendous opportunity for any value investor. And then the third theme, the last one is in addition to our organic free cash flow annuity and our growing free cash flow per share, we’re creating demonstrating and deploying new technologies, which will create incremental free cash flow and free cash flow per share beyond that base business and plan. The new technology opportunities, they are here now. They offer a meaningful avenue for incremental per share value for our shareholders, and they also are the next chapter of Appalachia’s Energy legacy. So, we’re beyond excited by the opportunities in front of us. They’re impressive. They’re outside the box, and they are unique to CNX. So, with that bigger picture in mind, let’s start talking some specifics. And I want to start with some policy discussion and then move to what’s going on with our new technologies effort. So during our first quarter call, a couple of months back, we covered -- discussed how there’s these destructive yet predictable consequences that we’re seeing of current national and global energy policies. And these policies have unfortunately been extremely effective in manufacturing energy scarcity and stoking inflation by preventing the most sensible supplies of natural gas and oil from reaching demand centers and by relying too quickly on renewable energy that’s not yet at scale. So the consequence is that we’ve seen the higher energy prices, the energy scarcity that I just mentioned and inflation, economic turmoil and geopolitical instability. And unfortunately, they’re becoming painfully clear to all. So, this morning, I’d like to build on that discussion and talk about what CNX is doing to improve the current situation. So perhaps it goes without saying, but I’ll say it anyway, CNX is going to continue to advocate for natural gas in the Appalachian region. The standard of living that we all enjoy it’s owned in large part to the great men and women doing the hard work to provide our energy, and we’re obviously proud to be part of that. In CNX, we focus on the near-term tangible actions rather than hypothesizing as to what may or may not occur that gave into the future. And the good news is opportunities exist here now to advance environmental and socioeconomic goals. And once again, we’re proud to be leading that charge with the recent announcements that we made, like our work with the Pittsburgh International Airport and with NewLife Technologies. And I’ll talk a little bit more about those 2 in a minute. So, we’ve been hard at work driving these and other key initiatives forward to advance our view of a legitimate and an actionable sustainable energy revolution. In proper planning and an inconsistent push towards the so-called energy transition, which is pinto international ideology the demands in immediate transition away from natural gas to renewable energy that’s going to struggle to deliver at scale that’s creating turmoil. A realistic and achievable sustainable energy revolution demands a more thoughtful, more common sense, more practical approach, which means creating fact-based solutions that are grounded in math and science today, not what potentially might happen 20 or 30 years from now. And by taking tangible steps to meaningfully reduce global carbon footprint in the most efficient manner. So natural gas and Appalachia and CNX, all 3 are going to have to play a pivotal role in accelerating and enabling that progress. Natural gas, it’s not a bridge fuel, and I want to repeat that, natural gas is not a bridge fuel. Instead, it’s a catalyst fuel, which is the basis of the sustainable energy revolution by helping industries across sectors lower costs and emissions immediately. We’ll also fast track the implementation of new technologies, and that will allow companies and industries to focus on driving efficiencies to eliminate waste, to stop egregious labor and human rights practices to grow the value proposition for their ownership and to provide a viable path to achieve carbon reduction targets. Look, the concept of solar and wind, powering the quality of life to which we’ve become accustomed to, that sounds fantastic in theory, it’s romantic as advertised, but the ability of these technologies to satisfy the world’s energy needs is to the kind a highly, highly questionable proposition. And it’s one that’s only practically achievable decades into the future, and it’s highly dependent on major advancements in technology and a massive increase in rare [ardelment] and battery production capacity. And here we’re talking around an order of magnitude increase more than currently exists today. So, I’m going to reference in the next minute or so on Slide 3 that we put in the slide deck this morning. And if you want to give a look at that while I’m going through some of these numbers, I think that will help for reference. So looking at Slide 3 for perspective, the world currently produces roughly 600 exajoules of energy annually. -- and that includes approximately 39 exajoules from renewable related to wind, solar and geothermal. Said differently, about 6% of current energy production is derived from renewable energy despite decades of policy incentives and subsidies that cost nations, economies and societies, trillions of dollars. 2021 is a good example of this. It was a record year for renewable energy installation, yet it resulted in only 5 exajoules of renewable energy added to the overall global energy production mix. Now when you look at the consumption side, forecasts indicate that world energy demand is going to grow on average of about 2% per year, and that works out to 10 to 12 exodus per year. Renewable energy, it’s unable to keep pace with that type of global energy demand growth, let alone have the ability to displace fossil fuels anytime soon. During the past 20 years, world energy demand has grown by roughly 200 exajoules and over the same time, about 35 exodus of renewable energy capacity have been added. So renewables, they’ve got a long way to go to simply meet new demand before they have any hope of displacing oil and coal in a meaningful way. More low-cost and environmentally friendly Appalachian natural gas, that can help meet this growing demand and make progress now on environmental goals. Also, the 600 exajoules of world energy production, fossil fuels account for 490-plus exojoules of that total. And then you’ve got hydro to around 40 nuclear adds about 25 exajoules and then you’ve got that 39 exajoules of wind and solar renewables to get to the approximate total of $600 million. So a majority of fossil fuel production, of course, is oil and coal. Appalachian natural gas only accounts for about 12 exajoules or 2% of the total global energy production mix, and it represents the cleanest, lowest greenhouse gas intensive fossil fuel that’s out there. And within Appalachia, CNX accounts for about half an exajoule, and it’s got the lowest greenhouse gas intensity and cost structure within the Appalachian basin. So we, the Appalachian Basin and CNX we’re not the problem. [indiscernible] show that we are the solution and CNX serves as a needed ally as the world seeks to reduce the other 490 exajoules of much higher greenhouse gas intensive fossil fuels and help keep pace with the new energy demand. Now there’s also while we’re talking about this, the issue of supply chain realities to consider because that’s an important one. And CNX and Appalachia are closest to the major U.S. demand centers for energy and for goods and for services and that would allow our local energy to be even more greenhouse gas efficient from an all-in Scoot 3 life cycle perspective, which is the way you should look at things. Reducing unnecessary shipping logistics, that’s the elephant in the room when it comes to emissions, and Appalachian natural gas has a big benefit with respect to that. Investment in and utilization of our low greenhouse gas intensive natural gas and distributive products, it will rely on infrastructure that works with green and new technologies, one and if they’re ready and able to be deployed to meet future demand. So that means that engines and factories, they can run off 100% compressed natural gas, 100% hydrogen or related blends between the 2. Same logic applies to additional electric vehicle EV deployment. As natural gas turbines on the grid are going to allow electrification to play a more meaningful role sooner. Of course, that’s a good thing. CNX, what have we been doing? We’ve been quite active making moves and investments consistent with these energy themes and these broader policy realities in mind. So, let’s talk about those for a couple of minutes. Our new technology team it’s got numerous projects in various phases of development, which are going to help the world move to a lower greenhouse gas emitting future while also maintaining reliable energy resources so that society properly functions. And the new technologies team is commercializing technology that will produce low carbon footprint natural gas and its derivative products and associated environmental attributes. These technologies are a game changer through the natural gas extraction in transportation industries. Technology and assets from CNX can help us place higher carbon-intensive fuels in the U.S. energy mix, both on the power grid and in the transportation sector. These displacement opportunities, when you add them all up, they are over 100 Bcf per day of natural gas opportunities in the United States alone. That’s a big market opportunity and more products and services could be produced within the Appalachian region if these types of technologies are deployed. And I’d think of these emerging technologies to be commercialized that we’re working on sort of categorize or falling into 1 of 3 major buckets. The first bucket consists of what we designate as having valuable and monetizable environmental attributes. We’re capturing methane through incremental capital investment and deployment of technology, which would have otherwise been vented to the atmosphere. And is ultra-low carbon gas, it’s increasingly valuable in a carbon-constrained world. Our Virginia assets are the foundational piece of that effort when it comes to CNX. And I can tell you, cold bed methane is back in a big way, but in a much different world. CBM today has a natural gas pricing base level of value to start things off with, but now today, it also enjoys an increasing portion of value tied to its ultra-low carbon characteristics. Recognition of this value, I can tell you, is growing across numerous economies and industries. The second bucket of our new technology’s effort is proprietary technology that we developed that will fundamentally change the manufacturing process for the extraction and delivery of natural gas. So, the technology here that we’re working on will transform drilling and completions and flowback and compression and processing and so on. It will make these processes more efficient, it will reduce the risk tied to them, lower the emissions associated with them and it will increase the margins with them as well. The third bucket using in-house technology to disrupt various industries currently relying on those other less efficient and higher emitting forms of energy. This technology efficiently transforms the state of natural gas when the gaseous into the CNG and the LNG, and that compressed or liquefied natural gas on pad can transform the aviation in the ground transportation industries. So instead of offshore high-carbon footprint, high-cost gasoline for ground transportation, the ability to now exist to use local low-carbon footprint, low-cost CNG is a similar story for aviation with LNG replacing jet fuel. In the business case for this third bucket, it really comes down to common sense when you think it through. If we want to lower global greenhouse gas emissions, you deploy new renewable energy in the sunniest and the windiest places that are still relying on coal and oil to displace them. You don’t place renewables at scale in places like Pennsylvania, where the efficiencies are low, the cost of scale are going to be high, the supply chains are thousands of miles in length and the life cycle carbon footprints are going to be in the wrong direction. So what’s better for the planet and for greenhouse gas emissions and for the regional economy and for business models, making products overseas using coal-fired power and inefficient power plants and factories to utilize core labor practices and having all that wasted cost and energy transporting these products all the way to the United States to sometimes work depending on the weather, if it’s windy or if it’s sunny, or in the alternative, simply manufacturing these products here with low carbon footprint natural gas, more [indiscernible] and factories, using local well-paid workers and shipping it within a 1-day drive. It’s pretty simple. Now let’s talk about the tangible impactful and local recent results of the new technologies team across those 3 buckets that we just summarized. One year so far has been full of accomplishments, spanning all 3, and we don’t expect the pace to lessen anytime soon. A pathway for implementing our proprietary technology to disrupt the old economy fuel supply mix is the announced partnership between ourselves and the Pittsburgh International Airport. This is an exciting partnership for both parties, and we’re going to help the airport lower their costs and reduce emissions and create jobs by using low-carbon intensity natural gas to displace those traditional aviation and transportation fuels, we just spoke of. And it fits obviously squarely in our tangible impactful local mantra. The partnership with the airport centers on how CNX has developed that technology to cost effectively convert on-site dry natural gas into LNG, CNG and electricity for various uses, including as a hydrogen feedstock. So, this ties into the hydrogen economy as well. And these technologies reduce emissions and operating costs at the airport. It opens up a new frontier for using lower cost, lower carbon intensity LNG and CNG fueling depots for higher energy-intensive businesses when you look at things like airlines and transit and cargo, fleet, other related businesses. These natural gas derivative products will leverage our local community’s workforce as well and create more family sustaining jobs, which is awesome. Now we also recently announced another exciting partnership that I mentioned earlier between CNX and NewLife technologies. And that is looking to convert air and greenhouse gas into a biomaterial called AirCarbon. It’s a pretty amazing and a pretty cool technology. AirCarbon is a carbon-negative PHP biomaterial. It’s produced by naturally occurring microorganisms that replaces plastic into industrial segments ranging from food to fashion. And under our partnership, CNX and NewLife will work together to capture waste methane from third-party industrial activity that would typically be vented to the atmosphere. We’ll capture, gather and process that captured methane to remove impurities and compress it and deliver the methane through new and existing natural gas pipeline infrastructure for conversion into air carbon by NewLife. The strategic partnership with CNX capturing methane gas to support NewLife manufacturing needs it’s expected to result in several manufacturing facilities in the Appalachian region and advanced critical decarbonization goals while boosting our region’s economic activity and the capital investment going on in the region and the job growth of the region. So that’s obviously awesome metrics to see going in the right direction. And beyond our new technologies team, another sort of point with respect to Appalachia, the Appalachian region has got the resources and the know-how and the work ethic to be the epicenter of providing solutions to the challenges brought by poor energy policy and by weakened geopolitical standing. We can be a center for skilled labor job creation to help pave a path to the middle-class access for the region’s underserved rural and urban communities, and we put into effect the program to do just that. This quarter, we graduated our inaugural class from the CNX Mentorship Academy, consisted of 28 young men and women from this great regions urban and rural communities and 6 of these talented individuals recently joined our team at CNX. It’s something our entire team and personally myself obviously very proud of. And we expect the second-year class to be even larger. We’re already underway preparing for that because August is coming up on us real quick here. The young men and women, obviously, the objective here is to help us build the local energy ecosystem and to cultivate and sustain the middle class for the next generation. Another note related to what’s going on with our new technology’s effort. We also recently submitted to the SEC comments regarding the proposed rules for climate disclosure. Now we’re supportive of the commission’s efforts, but we also believe the SEC’s proposed rules as drafted is going to create inconsistent and highly subjective standards for reporting scopes 1, 2 and 3 CO2 emissions across different industries and companies. So we believe in transparency and accuracy. Those are sort of the core tenants. Our position is that the SEC should amend the rules to create greater standardization and better clarity, fully transparent and honest accounting of carbon emissions that will underscore the importance of things like natural gas and Appalachia as the pathway to a promising future. So, I encourage you to read that letter to the SEC, which is posted to our website. In this past quarter, we also announced management changes with Alan Shepard, who you’re going to hear from next, taken over as CFO, Don Rush, moving over to the company’s Chief Strategy Officer position. Important steps, Don’s new role shows where we see the world heading and use in his words, the ocean of opportunities that it presents to CNX. Now as to what our new technology efforts add up to when it comes to our metric of choice, free cash flow per share, we’ll have more to say about that as 2022 unfolds, so stay tuned. In conclusion, I think it’s best to summarize this way. We believe the products and goods that we all use daily should be manufactured in Appalachia and the first utilized in the United States to help our local citizens and economies. Similarly, let’s first focus on creating new and growing existing markets for our products regionally in Appalachia and nearby markets like the Northeast U.S. via short pipelines. A local first mentality and will go a long way to solving myriad problems across the socioeconomic and environmental spectrum. It’s not protectionism. It’s not anti-free trade, instead, its common sense, it’s rational and its free market based. With that, I’ll turn things over now to Alan, who will cover a little more detail about the quarter.
Alan Shepard: Thanks, Nick, and good morning, everyone. This quarter represents our 10th consecutive quarter of significant free cash flow generation through our sustainable business model that is grounded in consistent operational execution and clinical capital allocation to optimize free cash flow per share growth. In the second quarter, we generated $62 million in free cash flow, which includes the effect of working capital changes due to the timing of our financial hedge settlements versus our physical sales receipts. As we have said previously, this temporary timing issue simply moves cash between quarters, sometimes positive and sometimes negative. It does not affect the profitability of the pads or the business. On the capital allocation side, as highlighted on Slide 5, we continue to take advantage of current equity market conditions by repurchasing 3.2 million shares in the quarter and another 2.2 million shares after the close of the quarter through July ‘19. Said differently, we bought back another 3% of our total outstanding shares. And over the last 7 quarters, we have repurchased approximately 16% of the outstanding shares of the company. We continue to see this as a remarkable low-risk capital allocation opportunity moving forward. And although we have not given an explicit capital allocation framework, if you extrapolate these levels of buybacks moving forward, you can see that we will continue to dramatically reduce our denominator and thereby meaningfully grow our free cash flow per share. Ultimately, we believe this will drive long-term share price outperformance and reward our long-term earners. More on that in a minute. On the balance sheet side, we repurchased $14 million of 2026 convertible notes, which represents our nearest-term debt maturity. As a reminder, these notes can be settled at maturity with cash, common shares or a combination of the 2 at the company’s discretion. By repurchasing the convertible notes with cash, we have eliminated the risk of future equity dilution and/or increased future leverage associated with that subset of the notes. We will continue to monitor this capital allocation opportunity moving forward as our share price evolves. Additionally, on the balance sheet side, we had a slight quarter-over-quarter increase in net debt. But when you net out the $13 million premium that we paid to repurchase some of the convertible notes early, this implies a $2 million reduction in net debt for the quarter. Looking forward, we expect to continue to both retire debt and reduce share count as the remainder of the year unfolds. Let’s now shift to our updated 2022 outlook on Slide 6, where I want to highlight 2 main topics: pricing and capital expenditures guidance. As everyone is aware, we’re living in a volatile pricing environment. And despite being materially hedged for the remainder of the year, the magnitude of the pricing volatility we are experiencing can materially impact our expected free cash flow for the year, either positively or negatively and both in terms of realized prices on our open volumes and in terms of swings in working capital related to the timing of derivative settlements that can materially shift cash flow between periods. With respect to capital guidance for the remainder of the year, we are increasing our capital by $70 million based on the midpoint of the new guidance range when compared to the previous guidance of $500 million. This increase is related to 3 main items. The first 2 items which account for over half of the increase are related to incremental investments that ultimately improve efficiency, improve business continuity and serve to de-risk our free cash flow annuity and/or position us to grow that annuity in the future. So, the cycle time efficiency, we are excelling 3 previously planned 2023 TILs into late 2022. We are planning to run a second rig for almost the entirety of the second half of the year to ensure there are no delays to our 2023 frac schedule, and we are prebuying and locking in key tangible goods and services. These incremental investments for 2022 equate to approximately $25 million of the capital increase and will ensure a successful execution of our future operating schedule. In addition to the incremental activity just discussed, we plan to invest $15 million in the second half of this year in projects associated with our ongoing innovation and emission reduction efforts. A great example highlighting this is the recent announcement of our decision to convert one of our drilling rigs from diesel to electric. This will add about $7 million of capital in 2022 in order to lower future operating costs and reduce our emissions footprint. We see the same rationale in cost savings for this investment that we have experienced in our electric track, and we are excited to once again be the first mover in pushing this basin forward in terms of technology, lower emission operations and more cost-efficient operational techniques. The remainder of this bucket of capital spend will go towards investments that lower our future methane intensity and operational costs while helping to set us up with a business plan to market these new services across the oil and gas space. We are excited about these capital investments in innovation that we believe are incredible value-add areas of our business. And moving forward, we plan on increasing the spotlight on this capital bucket and the value associated with it. The third and final piece of the capital change is mainly driven by a higher inflationary environment than initially anticipated. As you recall, when we started the year, we indicated that we incorporated an inflation increase of 5% to 10% or around $30 million for 2022. When compared to our 2021 budget, -- given the continuing inflationary pressures that still exist today, we are now expecting an incremental $30 million of impact, resulting in a full year inflation impact of approximately 10% to 20%. This inflation is mainly driven by higher diesel and steel prices and increased competition for reliable, high-performing equipment and service providers throughout our supply chain. One final note on guidance. The capital increase is largely being offset by the improved pricing environment and positive working capital changes. And as such, we are leaving our free cash flow guidance for 2022 with approximately $700 million. I will caveat again, however, that will end up higher or lower based on how the volatility around gas pressures plays out for the remainder of the year. Additionally, given our now lower share count, approximately $700 million of free cash flow is expected to result in free cash flow per share of $3.69 for 2022. Again, this is not an end of the year share count projection but based on our current share count. This increase in expected free cash flow per share is a perfect segue into Slide 7. Slide 7 illustrates the core tenet of the CNX investment thesis, the incredible and unique opportunity for rapid low-risk free cash flow per share growth that results from our sustainable business model. This graph includes what we have already achieved and what we expect moving forward. Looking back at the last 2 years, we have already more than doubled our free cash flow per share since 2020. Looking forward, assuming a constant enterprise value and assuming 80% of future free cash flow is allocated to share repurchases and the remaining 20% to balance sheet management, total shares outstanding would reduce by an additional 54% while still achieving significant deleveraging. In other words, free cash flow per share doubles by 2026. Our leverage ratio declined to roughly 1x and the implied share price, again, assuming a constant enterprise value would appreciate almost $45 per share due to this rapid share count reduction. This potential share count reduction only accelerates as stock price appreciation does not keep pace with the decline in outstanding shares. When you compare this projection to the 2020 free cash flow per share, you can see 2026 free cash flow per share is over 5x higher. Lastly, I want to conclude by reemphasizing what Nick made as at the beginning of his remarks. Despite the volatility around us, we are focused on actions to strengthen and de-risk our long-term free cash flow annuity, which under current conditions, we now estimate to be $700 million per year. We will continue to apply clinical math and the allocation of that free cash flow. And at current free cash flow yield, we expect the majority of that free cash flow annuity to be allocated to share buybacks, which will dramatically grow our free cash flow per share. Lastly, we are in the early stages of developing an exciting and growing business with our new tech ventures that is poised to materially add to our already compelling investment thesis and to most importantly, shape the next chapter of Appalachia’s energy legacy. With that, I’ll turn it back over to Tyler for Q&A.
Tyler Lewis: Thanks, Alan. And operator, if you could please open the line up for questions at this time, please.
Operator: [Operator Instructions] Our first question comes from Zac Parham of JPMorgan.
Zac Parham: First, just talking about the current operational environment and the inflation that you’re seeing. I know that you added $30 million into the budget. But just any early thoughts on what inflation could look like in 2023? Could that be another 10% or so? Just any color you have there?
Chad Griffith: Yes. This is Chad. I mean I think what we’re seeing is that inflation will certainly persist into next year. But as far as giving a direction or a magnitude, I think it’s a little bit early to tell. We are fairly well positioned with our activity set we’ve got great contracts or [factory] contracts. But certainly, steel and diesel continue to play a role. So, we’re all going to keep an eye on the pricing of those materials, just like everyone else. And I think just to wrap that up, the business is positioned. We are -- we do sell a commodity, right? We sell natural gas. The business is subject to those commodity fluctuations in the steel and diesel and other inputs in our business. And so, inflation has really been both helping and hurting right? And so net on net, I think we’re ahead. And I think we would expect that to continue into next year. At the end of the day, the business plan is still intact. It continues to be a $700 million a year free cash flow annuity. And we’re going to continue to execute on our free cash flow per share growth.
Zac Parham: Just a follow-up. In Slide 8, in the deck, which you just referenced in the prepared remarks, you talked about the significant free cash flow per share growth that you can generate out through 2026. That slide assumes 80% of free cash flow goes to buybacks. I know that you all don’t have an official framework out there, but is that a good percentage to assume going forward? Maybe just any color you can give on how you think about the buyback going forward?
Chad Griffith: Yes, I’d say we obviously -- we haven’t provided an explicit framework, as I mentioned. I mean the graph is designed to be illustrative to show what you could achieve while still achieving the kind of debt levels we seek to reach.
Operator: Our next question comes from Leo Mariani of MKM Partners.
Leo Mariani: I want to see if we get a little bit more color around the CapEx increase here in 2022. You mentioned kind of running the rig, I guess, for really the entire second half of 2022. And it seemed like there was some reference in the prepared comments to kind of de-risking the schedule for ‘23, but I also heard a comment about maybe positioning for some growth. Just trying to get a sense if there’s a little shift in thinking here where perhaps it made sense to grow volumes maybe early next year or something, just given the strength in the curve. And I guess when you talk about de-risk the schedule, is there maybe just concern about having equipment and services up the field on time? Just any color would be great.
Nick DeIuliis: Leo, I’ll take a shot at kicking this off and then turn it over to Chad for some more details because I think sort of big picture, your question speaks to sort of how we approach the business. That’s a good one. What we saw here really was a way -- we go back to those 3 core themes, right, that annuity, that $700 million-ish a year annuity, doing everything we can with respect to investing into the going concern to maintain and ensure continuity to de-risk the continuity of the business. being able to increase the efficiencies, debottlenecking, right, building capacity or optionality in it. So, a large part of that capital expenditure increase, to your point, that we decided to invest in was basically aiming towards those things, either de-risking or building optionality capacity, if and so we choose down the road. We’re not changing our activity set. We’ve got no intention to do that per se with respect to the roughly 1 rig, one frac crew plan, but philosophically, that’s where we see the start of the investment decisions that we’ve made. Chad some -- maybe some details on it.
Chad Griffith: Yes, sure. Thanks, Nick. So as Nick said, the focus is on de-risking the business, adding capacity, increasing efficiency, developing some of the innovation that we’ve got in the works or debottlenecking, right? And so, all the incremental capital is going to one of those things. And we illustrated 3 specific examples of incremental capital. We’re keeping the rig around for the back half of the year, the second rig around for the back half of the year, bringing in those 3 additional TILs and making the investment into electrifying the rig. All 3 of those things go to either de-risking or adding optionality. There’s not -- I mean, that’s what we ultimately decide to do next year, I think we’ll have to provide some additional color later on as we get closer to that. But obviously, just like we manage the business every day, we keep an eye on what commodity prices are doing. We keep an eye on what service prices are doing, what service costs are doing and then we modify the accordion of activity as appropriate.
Alan Shepard: The only thing I’ll add there is, the nod to growth opportunities is also now to the new technologies ventures that we’ve been discussing. We’re making investment status position us for that growth.
Leo Mariani: Got it. Okay. That’s helpful. I mean, I guess, just in terms of this sort of new ventures kind of new technology business, you clearly announced several initiatives here in 2022. Presumably, you expect that to be, I’m assuming kind of a growing business over the next couple of years? Any kind of rough estimate where is like, hey, this could be 10% of CapEx going forward? I don’t know how you guys think about that kind of capital allocation framework between that business and just the traditional bread and butter oil and gas?
Ravi Srivastava: Yes, this is Ravi. I mean, first, to say that we’re excited about these opportunities would be an understatement. Like there’s a ton of opportunity available for us to pursue like Nick mentioned in his comments, there is so much we can do to -- so many projects we can pursue to move the world to a lower greenhouse gas emission solution and while providing the quality of life and a reliable energy source for this region for the country. So we’re very super excited about that, and we have the technology, the assets, we’ve got the financial [indiscernible] to do all this. And what you’re starting to see is that these are not kind of sky, vision of the future type concepts. We’re starting to see some tangible results outcomes coming out of it, as you saw with our announcement with NewLife with the TIT and the Dynamis. So, we’re very excited about all that. And through all this, we have provided some data points for what the new tech value universe would look like for us. So, we still need to connect those dots for you guys. And so stay tuned, we’ll provide some more guidance, some more information on that front in the coming quarters. But like one thing I want to emphasize is, what we do with new tech investments and venture opportunities, it is going to be additive to the $700 million per free cash flow program for us, and it’s going to be going to continue to deploy a clinical math on how we deploy that additional free cash flow and what it does to the free cash flow growth. So, super excited about the opportunities. Stay tuned for more details on how some discuss going to pan out. And...
Alan Shepard: So maybe I’ll add one thing, Leo, just to wrap back under capital question. The initial stages of this are leveraging existing assets we have that are unique to us. So the initial capital outlay is marginal. We’re going to first seek to kind of bring out all the value from there. And then as we move forward, we’ll obviously signal to the market when we’re making different types of investments.
Leo Mariani: Okay. That’s helpful. And I just wanted to jump over to the buyback real quick. I couldn’t help to notice that I guess it was down quite a bit here this quarter. That was about $151 million last quarter and closer to $59 million this quarter. I just wanted to kind of get a sense, is that more just related to kind of some of the working capital changes this quarter where there maybe wasn’t as much tangible free cash flow. Presumably, just in your prepared comments, you guys talked about being excited about buying back quite a bit of stock here. So, should we think of maybe the much lower amount is more just a one-off related to kind of a temporary just cash flow change in working capital?
Nick DeIuliis: This is Nick again. Another good question. Going back to prior quarters, we didn’t hit it this time explicitly in the comments because we’re already a bit chatty with the comments this quarter did, but that’s a sustainable business model that we referenced. Obviously, things go away and really what we do within quarters is we have a couple of desires we want to stay within. One of which is to pay down some level of debt, sometimes it might be a nominal amount like it was this quarter because of the buyback opportunities. And then the other thing is to stay within some free cash flow bumpers for the quarter and obviously for the year. So -- and you put on top of that, right, a very volatile world where gas price is changing like they are and impacting equity markets, et cetera. It’s going to be a target-rich environment, we think, with regard to buybacks for the remainder of the year and going into ‘23. So, when you look at that in total, yes, it basically goes to what was the free cash flow looking like for the quarter because of things like settlements and working capital adjustments. And then from there, what’s a good allocation of that bucket across debt and share buybacks, which there we can follow the math. And it’s the same type of sort of process that we’ll use for Q3 for the rest of the year and then for ‘23 and beyond. And that’s the approach that basically is summarized at least conceptually or illustratively on Slide 8 that Alan was referencing.
Operator: Our next question comes from Neal Dingmann of Truist.
Neal Dingmann: If I could just maybe tack on the last question, I know it’s been asked a lot today just around capital allocation. Do you all consider -- you obviously buyback sound to be like one of the primary focuses right now, are there -- you talked about either bolt-ons, M&As out there. Do you all look at sort of what the returns would be. And just is it simply buybacks versus if you would go in buying the assets in the market, you compare those? And does that play the key role in deciding what to do with that capital?
Don Rush: Yes. This is Don. So yes, like we’ve mentioned a bunch of different times. I mean, evaluating M&A, we are going to be selective and picky. I mean, we do look at this from an internal kind of risk-adjusted rate of return standpoint -- and as we’ve said before, these somewhere out to bid, it has to compete with our other capital allocation opportunities. And right now, at this current time, the best risk-adjusted meaning for way to grow our free cash flow per share is buying ourselves. So that’s our version of M&A at the time. And as Nick and Alan have already laid out, the business model we’re running is unique in the E&P space. It really focuses on de-risking and growing our annual free cash flow and allocating that to reduce the share count to grow free cash flow per share very materially. And then the things that Ravi kind of mentioned on working on are just added it on top of that. So, we’re always in the know of what’s going on in the M&A space, but with the low-risk opportunity to grow free cash flow per share, so visibly in front of us of buying ourselves, it’s hard to compete with that.
Neal Dingmann: Well said, Don. And then my follow-up is on operating efficiency. Specifically, you all continue to do well on the cost side. Everybody has a bit of inflation. I’m just wondering, given the sort of lower rig count that you all are running today versus in the past, are you still as efficient as if you were to have a larger scale? I’m just wondering when it comes to pad development and all those sorts of things, maybe just discuss, if you will, given the rig count you have today, do you still see -- and are you able to experience the efficiencies that you would otherwise with a larger plan?
Don Rush: Yes. No, it’s a good question. I’d say it actually helps us be efficient because having that line of sight and that predictable activity set allows the team to be hyper focused on the targets that are coming up. right? And so we know where we’re going, we know when we’ll be there. We know what we need to execute and the team could be hyper focused really on a pad-by-pad basis instead of diluting your key athletes across multiple pads or multiple activity sets. We can be hyper-focused on that given set of activity and make sure we’re executing at the highest level possible.
Operator: [Operator Instructions] Our next question comes from Michael Scialla from Stifel.
Michael Scialla: I wanted to follow up on the new technology ventures. Alan, you said the incremental capital there is minimal given you’re leveraging a lot of existing assets. I want to see how the returns compete relative to, say, your upstream and midstream business? Is it more like a midstream type of return that you’re anticipating from these? And maybe when do you see or anticipate seeing meaningful cash flow from these new ventures?
Don Rush: Yes, I’ll go ahead and start that and then Alan can kind of leverage on top of it. So obviously, like we talked about on the M&A discussion, these returns are sort of fundable. They compete across the portfolio and a lot of the great things about like technology, ability to enhance margins for kind of minimal sort of spend upfront. So, the world’s great world volatile. There’s a lot of changes coming across over the next decade. And really, what we’re trying to do is position CNX in this region in this basin to be very, very successful in leading the way in this sustainable energy evolution. So as the world desires lower and lower carbon intensive or greenhouse gas intensive products and goods and services and energy sources, we have ways to deliver that. And as that premium kind of valuation starts slowing and being more recognized throughout the ecosystem, we’re setting ourselves up well to materially participate in this revolution. So I wouldn’t look at it as just that either we’re kind of rate of returns. These things are symbiotic and work intangible together. So, lots of exciting stuff coming down the road here and very excited to participate in it very meaningfully from both the company standpoint and the region standpoint.
Michael Scialla: Okay. Any sense on -- are these pretty long-dated projects? Or could you see cash flow in the near time from any of these?
Alan Shepard: Yes. I’d just say we provided the 3 buckets, and I think it varies amongst the buckets, right? Some of them might be showing up next year as others might have a longer lead time. And obviously, once we have the clarity, we’ll roll that out to the market.
Michael Scialla: Okay. And then I just wanted to ask on hedging. It looks like you continue to add some hedges in 2023 and beyond. I think in the past, you’ve done those with swaps. Any change in your policy at all given the outlook for global natural gas markets.
Alan Shepard: No, we’re going to continue to layer in programmatically and methodically layer in higher dollar hedges as the strip continues to bump up. So -- and we’re still sticking with swaps. And from our perspective, this is one of the key tools that’s allowed us to be kind of the first mover and a leader in shareholder returns, right? This hedge book gives us the comfort to do things like eliminate 16% of the outstanding shares over the course of 10 quarters. So, we’re going to stick with that.
Michael Scialla: Very good. And then just one last one, if I could. Nick, last quarter, you talked a bit about -- and you did this quarter as well about policy and particularly needing more pipeline infrastructure in Appalachia. Anything you’re seeing at all federal, state, local level that gives you more or less encouragement that could happen?
Nick DeIuliis: There’s obviously so much going on. We just got news last night, right, with what’s going on in D.C. But obviously, the details are very cloudy at this point. Same stories across regions and states, et cetera. But I do think one of the common themes over the course of ‘22 so far is that there is a growing realization and maybe it’s a realization that some don’t want to see or hear, but nevertheless, it’s occurring, that there must be a crucial role, a pivotal role for natural gas in the overall sort of domestic as well as global energy mix. There’s just nothing else that’s going to be able to fill the void on the demand, whether it’s exajoules or kilowatt hours or transportation miles. And that’s not a hit against any other piece of the energy portfolio it’s just the reality. So, when you look at what is going on with the desire to evolve away from oil and coal and then you couple that with what renewables are capable of with respect to scaling up over a 3-, 5-, 10-year period, there’s a huge sort of gap that needs to be plugged. The EU figured that out when Russia turned off the gas pass with Ukraine. And I think we’re starting to figure that out domestically here when you look at summer and winter periods and what’s going on with things like grid or how we’re going to charge all the EVs, et cetera, with the transition. So, I think that acceptance is a big driver ultimately into whether or not infrastructure is allowed to be built by the private sector with regard to things like pipelines. So, if anything, sitting here today, even though the world has gotten even more volatile and a little bit crazier than last quarter, I actually am a little bit more in the bullish camp that infrastructure that’s needed and ready and willing to be built with the private sector side of the economy will actually get done to some extent for natural gas.
Operator: Our next question comes from John Abbott of Bank of America.
John Abbott: My first question is on tax. I mean last quarter, you gave that guidance on when you would start potentially paying meaningful cash taxes. Now sort of looking at the time, I guess, would be about cumulative cash flow about $3.5 billion based off your initial plan. When it comes to long-term cash tax rate are you closer to being a 15% cash tax long term? Or are you closer to 20% after you reach that?
Alan Shepard: Right. We’re probably closer to 20% when you add better one stayed.
John Abbott: All right. That’s very helpful. And then my other question is on the turn in lines during the quarter. It looks like you turned to sales 3 wells in Marcellus well in CPA South. And typically, a lot of times I sort of think of the deep Utica there. Were these more just -- what was the thought process of turning on those, what particular wells down in that area?
Chad Griffith: John, thanks for the question. So, this is Chad. So those 3 CPM Marcellus wells are actually TD. We’ve drilled them. We’ve not yet turned them in line. But the thought is -- the reason we did that is we were on pad already drilling CPA Utica wells. We had the rig there. We have the inventory. We’ve seen what offset operators’ results have been lately. And looking at all those inputs, it was an accretive rate of return project that added to the plan. So, it was sort of a no-brainer for us to go ahead and drill those while we were there and then include them in the go-forward plan. We believe it’s going to be a good contributor to the $700 million a year free cash flow annuity and continue to support our plan to buy back shares and increase our free cash flow per share.
Operator: This concludes our question-and-answer session. Now I now like to turn the call back over to Mr. Tyler Lewis for any closing remarks.
Tyler Lewis: Great. Thank you, and thank you, everyone, for joining this morning. Please feel free to reach out if you might have any additional questions. Otherwise, we look forward to speaking with everyone again next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.